Operator: Good day, ladies and gentlemen, and welcome to the SCOR Group Q3 Results Conference Call. Today's call is being recorded. There will be an opportunity to ask questions after the presentation. [Operator Instructions] At this time, I would like to turn the call over to Mr. Ian Kelly, Head of Investor Relations. Please go ahead sir.
Ian Kelly: Good morning, everybody, and welcome to the SCOR Group 2019 third quarter results call. I please ask you to consider the disclaimer on page 2 of the presentation, which indicates that the financial results for the third quarter 2019 included in the presentation are unaudited. With this, I would like to give the floor to Denis Kessler, CEO and Chairman of the SCOR Group, who is joined on our call today by the entire COMEX team. Denis?
Denis Kessler: Thank you, Ian, and good morning, everyone. SCOR records a solid performance in the first nine months of 2019. On a year-to-date basis at the end of Q3 2019, SCOR is achieving the solvency target and outperforming the profitability target of its new strategic plan of Quantum Leap. Despite the challenging conditions that the insurance and reinsurance industry faced in the third quarter marked by three factors: First, an elevated natural catastrophe activity with two major events, Hurricane Dorian in the U.S. and in the Bahamas, and Typhoon Faxai or Faxai in Japan, I let you choose between the two way to pronounce it. Second, a series of significant manmade P&C claims throughout the world, including notably satellite losses, refinery fires, a major travel group failure and faulty construction claims. Finally, third factor, the low-yield environment as interest rates even fell further in the United States in particular. SCOR has successfully navigated through these headwinds, once again demonstrating the resilience of its business model and its shock-absorbing capacity. The beauty of our mission, as a reinsurer, is to provide security and to safeguard the resilience of economies and societies impacted by those shocks. SCOR once again has completed its mission, while managing to deliver a good set of results. The strong performance bears witness of the relevance of the recipe, which the group has consistently applied over the years. Needless to remind you, the four cornerstones that allow SCOR to absorb shocks and to create value; first, our very active risk management policy; second, strictly controlled risk appetite; third, high diversification; and finally, a robust capital shield policy. Let's move on to slide 4. SCOR has consistently delivered strong P&C and Life technical profitability with low volatility over the years. You see on the left, the evolution of SCOR's quarterly P&C combined ratio and Life technical margin from Q1 2006 to Q3 2019 included representing 55 quarters. Over these 55 quarters, the combined ratio has been strictly below 100% in 9 cases out of 10. The third quarter of 2019 falls in this category with a quarterly combined ratio of 99.4% in spite of the large series of catastrophe and industrial events. You see on the right, the distribution of the reported quarterly return on equity on the same time period. As expected, the volatility of SCOR's profitability at the group level is even lower than that of the P&C combined ratio, thanks to the additional diversification benefit with life underwriting risks and investment risk. The natural volatility in the P&C combined ratio is mitigated by the higher stability of the life technical result as well as return on invested assets. Thanks to this optimal diversification, SCOR consistently delivers results in line with its strategic objectives. Over the last 55 quarters, the ROE has exceeded 4% in 93% of the cases. Again, the third quarter of 2019 falls into this category with a quarterly ROE of 7.5%. I repeat quarterly ROE. These charts concretely illustrate how SCOR successfully manages to generate regularity from a raw material, made of shocks and large risks. Let's move to slide 5. SCOR continues to expand and deepen its franchise in particular both on P&C in the U.S., the largest market in the world, and on Life, in Asia Pacific, writing altogether more than €12 billion of gross written premiums in the first nine months of 2019. This is an increase of 3.2% at constant exchange rates compared to last year, mainly driven by the strong growth of SCOR Global P&C of 11.5%, resulting from successful renewals in an improving environment. The SCOR Global Life growth of minus 2.5% at constant exchange rates reflects financial solution deals renewing as fees as you know. If these renewed as premium on a like-for-like basis with last year, SCOR Global Life growth would stand at 3.8% as the group overall growth would reach 7%. At constant exchange rates again, the group definitely expands its footprint. The profitability is strong with a net income of €401 million year-to-date at the end of Q3 2019, translating into a return on equity of 8.8% or 816 basis points over the five-year risk-free rates slightly above the Quantum Leap profitability targets. The technical profitability of the business engines through the first nine months of 2019 is strong with a robust P&C net combined ratio of 95.7% in line with the 95% to 96% assumption of Quantum Leap; a strong Life technical margin of 7.2%; and a return on invested assets of 3%. Meanwhile, the solvency ratio is in the optimal range standing at 2-0-3 -- 203% at the end of September. The group's capital generation has been strong, but unfortunately partially offset by the impact of market movements since the beginning of the year, particularly, these decrease in interest rates which is the main driver of the reduction in solvency. Hence, SCOR has successfully navigated the higher level of claims in the third quarter combining disciplined growth, strong profitability and robust solvency.  I will now hand over to Mark for the detail of third quarter financials. Mark, the floor is yours.
Mark Kociancic: Thank you, Denis and good morning, everyone. So let's begin on slide 5 and I will walk you through the main financial highlights of the quarter. In the first nine months of 2019, SCOR underwrote just over €12 billion of gross written premiums, representing a 6.3% increase over 2018 at current exchange rates or 3.2% at constant exchange rates. SCOR Global P&C grew at 14.7% while SCOR Global Life by 0.7% both at current exchange rates. SCOR Global P&C delivers a net combined ratio of 95.7% in spite of heavy loss activity in the third quarter. The combined ratio includes a cat ratio of 7.6% just over the budget of 7% and benefits from 1.4 percentage points of reserve release. The Life technical margin is strong at 7.2% in line with the Quantum Leap assumption and benefits from the positive impact from Financial Solution deals being renewed since the beginning of the year as fee business. Finally, SCOR Global Investments delivered a strong return on invested assets of 3% supported by a recurring yield of 2.6% and realized gains of €43 million in the quarter largely coming from the real estate portfolio. Overall SCOR's net income for the first nine months of 2019 stands at €401 million up 17.3% compared to 2018. This translates into a return on equity of 8.8% and this is above our Quantum Leap profitability target of 800 basis points above the five-year risk-free rates. The solvency position stands at 203% at the end of the quarter and in the optimal range of our solvency scale. The positive capital generation for the year which is in line with expectations has been more than offset by significant market movement from the reduction in interest rates at an estimated 21 percentage points. Despite this the solvency ratio remains in the upper part of the optimal range. Moving on to slide 8. SCOR has seen a strong growth in its book-value over the first nine months of 2019. After dividend payment our shareholders' equity increased by 11.3% compared to fiscal year 2018 to reach €6.5 billion. This is largely driven by net income of €401 million recorded in the first nine months of 2019; €374 million of positive impact from revaluation reserves; and €249 million of positive impact from currency translation adjustment largely due to the strengthening U.S. dollar. Overall, this corresponds to a book-value today of €34.71 per share up from €31.53 at year end. The financial leverage has decreased by 2.4 percentage points since the beginning of the year and stands at just above 25% in line with our Quantum Leap assumptions. Let's move on to page 9. SCOR generated €572 million of operating cash flow in Q3 2019. SCOR Global P&C's cash flow is robust despite the claims payments from the 2017 and 2018 cat events. SCOR Global Life cash flow reflects volatility of claims payments and seasonality in client and tax settlements as we noted last quarter. Overall, the total liquidity of the group is very strong and stood at €2.1 billion at September 30. Let me now hand over to Jean-Paul who will present the result of SCOR Global P&C.
Jean-Paul Conoscente: Thank you, Mark. The third quarter of 2019 has been challenging for the market and for SCOR Global P&C. This quarter growth is still fueled by a strong second half 2018 renewals in the U.S. as well as from the successful first half of the year 2019 renewals. On a year-to-date basis our premium growth is 11.5% at constant rate of exchange. We expect the premium growth rate over the entire year 2019 to finish in around the same level. This reflects market opportunities we dynamically seized in the first half of 2019 with share increases both on programs where underlying metrics were improving, as well as opportunities following merger and acquisitions and other market movements. On profitability, the SCOR Global P&C 9-month results remain robust despite three concurrent but different phenomenon affecting the global market in the third quarter. As Denis mentioned a heavy cat burden resulting in a cat ratio of 7.6% for the year-to-date slightly above over 7% cat budget driven by net contribution from Typhoon Dorian and Faxai respectively €92 million and €89 million. We're the fifth-largest reinsurer in the Caribbean and the fourth-largest reinsurer in Japan and these impacts are consistent with our market share. Both the Caribbean and the Japanese markets and known for their loyalty and short payback periods. We are therefore confident in our ability to recoup on these events. Second phenomenon is the heavy manmade losses with an above-average number of manmade losses including treaty and surety losses involving the insolvency of Thomas Cook; a number of space claims including the Falcon Eye Satellite launch loss; and a few unrelated number of sizable U.S. casualty claims on the SCOR Business Solution portfolio. There is also the impact of the Ogden rate change for €13 million pretax going from an interest rate of 0% to minus 0.5%. The last phenomenon is an adverse attritional environment. We're closely monitoring attritional loss ratio trends. And recent data released by the American P&C Insurance Association for the first half of 2019 show a trend of deteriorating results for the U.S. market of about 1.3% of combined ratio, despite the price increases seen at the first half renewals. We believe this is a result of two factors. The price increases seen in 2018 and 2019 have not been sufficient to bring profitability to a sustainable level across most lines of business and therefore more increases are required in 2020 and beyond. The second is the full impact of the price increases in 2019 have not yet fully flown into the financial figures. These trends drive essentially the increase of the attritional combined ratio from 79.2% in 2018 to 81.3% in 2019 bearing in mind that reserve releases at the end of Q3 are similar to the ones at the end of Q3, 2018. To partially balance these higher-than-usual cat and manmade losses, we have made reserve releases of €60 million net. These reserve releases amount represent less than 0.5% of Global P&C's net technical reserves which at the end of Q3 stand at €13.5 billion. Year-to-date our reported combined ratio stands at 95.7% still within the Vision in Action and Quantum Leap assumptions. On a normalized basis, our year-to-date combined ratio stands at 96.2% slightly above our 95% to 96% range. Another metric so technical cash flow remained strong as mentioned by Mark at €430 million this quarter and €586 million year-to-date. Overall this claim-heavy quarter should remain a positive pressure on rating environment, ahead of the January one renewals during which we'll be focused on improvement of our margins. As our business is largely proportional, we'll benefit from the continuous hardening, primary insurance market and we expect also improvements in the reinsurance pricing in terms for the same. I now pass the floor on to Paolo for Life.
Paolo De Martin: Thank you, Jean-Paul. SCOR Global Life delivers a strong start to our Quantum Leap plan. In particular, we're successfully combining franchise development in Asia and strong profitability. We're deepening our impact and accelerating value creation particularly in Asia, where we're delivering on our strategy by addressing a large protection gap through innovation. In the first nine months of 2009 as you've already heard from Denis and Mark, SCOR Global Life has recorded gross written premiums of €6.7 billion. This is an increase of 0.7% at current exchange rate and a slightly -- slight decline of 2.5% at constant exchange rates compared to the same period of last year. As in previous quarters this variation is largely driven by certain Financial Solution transactions which have been renewed as fee business rather than as premiums since the beginning of the year. As you may remember on these deals, we're now recording similar amount of profits on lower headline premiums. On Appendix Page 29 of the presentation you will find detailed numbers. Excluding these transactions, we have grown by 3.8% at constant exchange rates driven by positive business development growth in Asia and North America. Overall, the premium growth is in line with our Quantum Leap assumptions of 3% to 6% over the cycle and this translates for 2009 in an expected normalized growth rate of somewhere between 3% to 4%. On the profitability side, the technical result is strong and stands at €453 million for the first nine months. The new business underwritten continues to be above the group ROE target. And the in-force performance is solid with U.S. mortality claims roughly €110 million higher at constant exchange rate and pretax than in the same period in 2018, balanced by active portfolio management and strong reserve position. This has improved slightly from €130 million we disclosed in the first half of 2019. Our technical margin stands at 7.2% for the first nine month of 2019. The renewal of financial solution deals as fee business adds about 40 basis point to this metric. As mentioned in the beginning of my presentation, on this deal, we're now recording similar level of profit on lower headline premiums. I will now hand it over to François for detail on our investment performance.
François de Varenne: Thank you, Paolo. SCOR's total investment portfolio reaches €28.5 billion at the end of September with an invested asset portfolio of €20.3 billion compared to €19.5 billion at the end of June. The portfolio positioning reflects the current level of uncertainty in financial market and asset allocation choices defined for the quantum leap plan. Liquidity stands temporarily at 9% of the invested assets above the 5% that we would target in less uncertain market conditions. The share of corporate bonds is stable compared to last quarter at 44%, but four points below our allocation at the end of 2018. And the fixed income portfolio remains of very high quality with a stable average rating of A+ and a duration of 3.6 years. And highly liquid with financial cash flows of €7.1 billion expected to emerge from the investment portfolio over the next three years. Since the beginning of the year, our income yield stands at 2.6%. Our theoretical reinvestment rate excluding future capital gains stands at 2% at the end of September in a lower interest rate environment. As announced previously SCOR Global Investment has initiated a disposal program of mature real estate assets. Two buildings were sold during the third quarter, generating capital gain of €34 million. This brings our income on invested assets to €434 million since the beginning of the year corresponding to a return on invested assets of 3%. Under our market -- under current market condition we maintain our expectation of an annualized return on invested asset in the 2.7%, 3% range for the full year 2019. With this I will hand it over to Ian for the conclusion of this presentation.
Ian Kelly: Thank you very much François. On Page 13, you will all find the forthcoming events scheduled for February next year including the P&C January renewals call and the SCOR Group 2019 full year results presentation. Also you can see the upcoming conferences which we are planning to attend during the remainder of this year and the start of next year. So, with that, we can start the Q&A session. Thank you.
Operator: Thank you, Mr. Kelly. [Operator Instructions] Our first question today comes from Jonny Urwin from UBS. Please go ahead, your line is open.
Jonny Urwin: Hi there, morning. Thanks for taking my questions. So one on the manmade one on nat cats please. So, on the manmade losses, so the normalized combined ratio is a bit elevated in Q3 so 97.5%. Can you quantify how much of that is driven by manmade please? Then on the nat cats, so based on your loss estimates for both Faxai and Dorian, it looks like you're pointing to about €6 billion sort of market share -- losses for each. Is that fair? Or has the retro already kicked in which lowers your net loss? And is there any retro protection for Q4? Thank you.
Jean-Paul Conoscente: On your first question. So, the attritional loss ratio for this -- for year-to-date is about two points higher than last year. On a quarterly basis, we have a normalized combined ratio is slightly higher than our 96%. This has happened three times in the past and we still managed to bring the combined ratio within the expected range. We think this will be a similar story for this year. The -- relative to the cat ratio, this is an average over the last 10 years of cat. 2017 and 2018 have been heavy, 2019 third quarter has been heavy, but the beginning of the year was relatively light. So, again, we believe our 7% cat ratio is solid. And as a reminder, we increased it from 6% to 7% at the beginning of 2019. And on the attritional side, we don't expect this level of manmade losses to occur every quarter. So, again, we believe our target normalized combined ratio of 95% to 96% still holds. The second question--
Jon Urwin: And that was -- so that was two points higher in the quarter right and not year-to-date.
Jean-Paul Conoscente: Two points higher in the quarter, yes, you're right.
Jon Urwin: Yes, thank you.
Jean-Paul Conoscente: Relative to the cat events, in terms of market loss, we -- I think we pegged Dorian slightly lower than your number and same for Faxai. On both we have some retro that is playing for us. We have some proportional retro in Japan, which provides some relief and a limited amount of retro on the Caribbean loss. And then for your question regarding the rest of the year, we haven't affected our excess of loss retrocession, which remains intact. And the proportional retro we have in place remains intact as well.
Jonny Urwin: Okay, brilliant. Thank you.
Laurent Rousseau: Just one word on -- it's Laurent on the manmade. What we've guided so far is that our manmade experience was pretty close to the cats budget if you look at our 7%. If you look on the nine-month 2019, we're not far. Q3 was a negative, but on nine months it's close.
Ian Kelly: Okay. Thanks very much, Jonny. Let’s move to the next question.
Operator: Thank you. Our next question comes from Andrew Ritchie from Autonomous. Please go ahead. Your line is open.
Andrew Ritchie: Hi. I wonder if you could just give us some color as to your exposures to some of the particularly pressured areas in U.S. casualty right now. I appreciate SCOR is a small player in the U.S. casualty market but you have grown that book from a small base fairly significantly. And I think some of the claims issues you've seen have been on casualty related areas. So maybe just give us some color on, is there a further rethink? I mean, the impression you're giving is that you're not very happy with the attritional experience. And some of it's manmade but some of it might be I don't know maybe you are seeing some of these casualty effects coming through? And my only other question related to that SCOR Business Solutions there's been some commentary in the trade press. In fact apparently SCOR has been communicating with trade press indicating a change of strategy for channel, particularly purchasing of reinsurance for legacy book, closing down legacy books. Can you give us some color on what has been decided? It sounds like you've moved on in thinking from the Investor Day? Thanks.
Jean-Paul Conoscente: Yes, I'll start with the question on U.S. casualty and I'll let Laurent replay on the SBS and channel. On the U.S. casualty, we have two portfolios. One is a treaty portfolio, the other one is SCOR Business Solution portfolio. The larger portfolio we have is on the treaty side. We write a large number of segments on casualty on a treaty basis man made, D&O, E&O general liability. Two lines of business that we don't write at all, one is commercial auto, the second one is workers' compensation. These are the two lines of business that experienced most of the difficulties for our competitors and our clients over the past years, so these are two lines that we've avoided. On the other lines, we're seeing similar trends and the rest of the reinsurers and our clients. But the big difference is we've been very cautious in growing our casualty book. We're still predominantly property driven in the U.S. And so even though we see these effects in our portfolio, the effect from a reserve point of view has been negligible. And we feel we're still adequately reserved from the U.S. casualty point of view. From a pricing point of view of the business going forward, we see that the price increases achieved in 2018, 2019 are just keeping up with the loss trends and this warrants additional price increases in 2020 both on an insurance side and a lowering of commissions on the reinsurance side.  Laurent you want to take the insurance question?
Laurent Rousseau: Sure. There are actually a few questions, so let me take them one by one. On SBS, so the last commercial lines insurance and fact book. Here there is an acceleration of the rate increases, led by property, led by onshore energy. And here that growth is very satisfactory. We are taking advantage of that to prune the portfolio. So we as well reduce some buckets. But all-in-all, the SBS story is indeed in line with what we've presented in September. I would say it is the same for channel. And here there are a few points. The reinsurance to close a deal, which is not an announcement we've made, but which was reported by trade press, refer something very consistent with our view on the profitability of the book and that we need to concentrate our resources capital and management attention on the life book and the future growth. So here I think it's a focus on profitability, which has always been the case for channel over the past 18 months with a number of actions that we took. That's point one. The point two on channel is the SBS, so the business planning exercise. But here we have a slight decrease for 2020 and this is a mix between the single risk insurance, political risk, environmental liability, which are similar trends than SBS. So, pretty positive trends and we're doing very well there. We're leading in those lines. And we're -- clearly we're taking a more prudent sense on the property lines at growth whether it is single risk D&F or the binders. But all-in-all I would say that the story is very similar to what we've presented at the Investor Day where we refocused channel on profitability and on that of business are specialty and where we can lead.
Jean-Paul Conoscente: And just one final comment on the attritional is primarily driven by manmade losses and not by deterioration necessarily of the rest of the portfolio especially on the U.S. casualty part.
Andrew Ritchie: Okay. Thank you.
Ian Kelly: Thanks very much Andrew. We go to next question, please.
Operator: Our next question comes from Kamran Hossain from RBC. Please go ahead. Your line is open.
Kamran Hossain: Hi. Good morning. One question probably with a couple of parts. When I look at, I guess, full year consensus of €572 million and what you've achieved here to-date with €401 million implies a pretty strong Q4. Could you maybe talk a little bit in that respect just around the outlook for realized gains in the fourth quarter? And then secondly on I guess some thinking around Typhoon Hagibis and what impact this might have. If it's just that does it look like a normal quarter or does it look a little bit worse? So just some thoughts on how we bridge the kind of €401 million to €572 million for the full year? Thank you.
Denis Kessler: Mark?
Mark Kociancic: So our -- that might be a consensus figure in the market side. I mean, our goal is clearly the 800 basis points over the five-year risk-free rates. In terms of the Q4 figures that we see right now, I think it's too early to comment on Hagibis. That's something that is still very much in its early stages. I think we have a solid pipeline of potential gains in our investment portfolio and the remainder of the business is solidly on track. I think what we experienced per Jean-Paul's comments, in Q3 was some volatility on the manmade in particular and the nat cat side is something that evolves without any warning. So I think we're on track to achieve our profitability expectations for the year, and we'll see how we do relative to the market consensus.
Kamran Hossain: And on the realized gains side, do you think we're done for the year?
François de Varenne: So on the realized gain side so as I told you we have sold two buildings in Q3 on the real estate portfolio. Another building should be sold in Q4 with a positive contribution to the investment income keep in mind that with €164 million of unrealized gain on the real estate portfolio, we still have a strong capital gain generation potential, and we aim at selling mature assets, which mean when the value creation cycle has been completed. And you should expect a positive contribution again in 2020 from the real estate portfolio. So, both in Q4 and next year.
Kamran Hossain: Okay. Thanks very much.
Ian Kelly: Thanks Kamran. Let's go to next question, please.
Operator: Thank you. Our next question comes from Vinit Malhotra from Mediobanca. Please go ahead. Your line is open.
Vinit Malhotra: Yes. Yes. Good morning. So on my two questions. One is that there were reserve released of €60 million, I think very similar to last year 3Q. And then we obviously have another storm in Japan, and potentially there could be some more in 4Q. Could you just comment on how you view the reserve position or spend also given two successive or even more years of some reserve movements please?
.:
Denis Kessler: Jean-Paul, the second question.
Jean-Paul Conoscente: Yes. On the attritional the 2.1 points of additional attritional combined ratio is -- so it's the sum of the attritional loss ratio plus the commissions and this includes the impact of manmade losses as well as Ogden as well as the overall attritional performance of the book.
Denis Kessler: Frieder?
Frieder Knüpling: The reserve release in Q3 haven't been in any way unusual. That's part of our long-term reserving strategy. You've seen similar reserve releases in situations like this in the past. We manage our reserve buffer on a long-term basis. So there's nothing particular about what we did in Q3. And when it comes to Q4, this -- our reserving policy is unchanged, and if there's significant claims activity there's going to be the same type of consideration as in Q3. When it comes to estimating the Q4 claims and the losses from the cats, as Jean-Paul said this is a bit early to say. So I don't think we can speculate about the impact at this point.
Jean-Paul Conoscente: On the management expense question if you look at Page 10 the management expense ratio went from 7.3% to 6.8% and the majority of the decrease has been just a scaling up of the portfolio. We haven't necessarily grown the management expenses very much but we're writing bigger shares of existing treaties and therefore lowering our management expenses.
Vinit Malhotra: Okay. And Frieder, if I can quickly follow-up. The reserves strength would you say is about unchanged as well as the reserve policy is unchanged?
Frieder Knüpling: Sorry. Just to make sure I understood. You asked about the reserve trend...
Vinit Malhotra: No, no strength, sorry. The adequacy or would, however I could phrase it. Just because you've seen reserve releases...
Frieder Knüpling: Our policy is unchanged. We wouldn't have made the release if we didn't have the buffer. So there's no fundamental change to our reserve strength compared to previous quarters.
Vinit Malhotra: Okay. Thank you.
Jean-Paul Conoscente: And again and just as a reminder, this release is less than 0.5% of the total P&C reserves. So it's a very small percentage.
Denis Kessler: Thanks very much, Vinit. Let’s go to the next question please.
Operator: Our next question comes from Michael Haid from Commerzbank. Please go ahead. Your line is open.
Michael Haid: Thank you very much. Good morning. Two questions. First pricing in Japan. Apparently, you and the industry faced some higher losses from Japan. From my perspective, it seems that the price increases that were achieved in the renewals in this year were not sufficient and possibly even by far not sufficient. What are your expectations for pricing in Asia for the 2020 renewals? Second question on the Solvency II ratio, apparently it fell from 215% year-end 2018 to 203% still within the optimal range. But is this current level is this a concern for you at this stage? Are you considering any management action to protect this level? Or do you say just that it cannot fall any lower given the interest rate environment at the moment?
Jean-Paul Conoscente: So this is Jean-Paul. I'll start with the Japanese question. As you know on the Japanese market, the mentality of the companies there is to pay back reinsurers over time. As a reminder, after the 2011 earthquake losses, we suffered in Japan. The payback for those losses was four years. So following the losses of last year and this year we -- last year the price increases on the CATEX were about 25% on average, some higher, some lower and we expect price increases to continue in 2020. But again, the mentality of the Japanese clients is not just to give payback on the specific programs that were impacted but across the whole portfolio. This is what was achieved after the 2011 losses and we expect a very similar trend to happen at this renewal.
Denis Kessler: Either Jean-Paul or Frieder on the solvency level.
Frieder Knüpling: So as Mark said, solvency is well in the optimal range, where we'd like it to be. We've managed it at the upper end of the solvency range in the past years to provide a buffer for market movements like what we've seen in the first half of the year. So this was well provided for. We have strong operating capital generation. We disclosed the first six months analysis of change of the solvency ratio just a month ago, showing that there's strong support from the operating business, which has partially offset the effect of the interest rate decline. The best course of action we believe is implementing Quantum Leap, accelerating the generation of value and solvency capital from our business activities. And that is going to provide continued support to our solvency position going forward. But there's still buffer for further adverse market movements. But as I said, the best protection we have is the strong operating capital generation which we've demonstrated over the past six months and which we planned also per Quantum Leap.
Michael Haid: Okay. Thank you very much.
Denis Kessler: Thank you, Michael. Let’s go to next question please.
Operator: Thank you. [Operator Instructions] Our next question comes from Avinash Goel from Societe General. Please go ahead. Your line is open.
Avinash Goel: This is Avinash from Soc Gen. I just have one question. What is the normalized capital generation for nine months given low Solvency II at 203%?
Denis Kessler: Hello.
Avinash Goel: Hello.
Frieder Knüpling: Sorry. Was the question what's the normalized Solvency II …capital ratio?
Avinash Goel: Capital ratio?
Frieder Knüpling: …capital ratio?
Avinash Goel: Right.
Frieder Knüpling: Yeah. So, we've been publishing a breakdown of our solvency ratio movements over the past few years. You will have seen that a typical operating capital generation in solvency ratio terms was maybe in the range of 10 to 12 percentage points. But nowadays volatility caused by new business seasonality, claims experience, and so on around this. It's not a target and normalization is something which requires a good discussion, so we don't really look at it this way. But that's been the trend of operating capital generation. And this has then been overlaid by market movements, by of course capital management actions. And a bit of model changes and things like that. But if you look at though our past solvency disclosures, and also the half year disclosure which we added for the first time, in September this year And I think that gives you a good picture of what we are currently producing.
Avinash Goel: Thank you.
Denis Kessler: Thanks, Avinash. Let's go to next question please.
Operator: Thanks you. Our next question comes from Thomas Fossard from HSBC. Please go ahead. Your line is open.
Thomas Fossard: Yes. Good morning everyone. Two questions, first one would be just to come back on the manmade exposure. I think it's now a couple of quarters that you've been facing high elevated level of manmade and probably running above your both normalized level on a quarterly basis. So, I will start -- I was wondering if you were starting to be concerned by anything deteriorating trends across your book over year. Or you are still seeing the random combination and accumulation of different effective losses. And also related to this question, can you be a bit more specific on the surety loss coming to your book on Thomas Cook? And potentially what has been the initial loss estimate you have provisioned for the Lubrizol explosion plant? The second question would be related to your retrocession program. Usually you're very early in renewing your program in the market. I guess it's now probably for a large extent done. So could you tell us, how you've been going through maybe a retrocession market which been a bit tighter over the past couple of months? And is there a big change in terms of section and in terms of pricing for you? Thank you.
Jean-Paul Conoscente: Okay. Going back to the first set of question around manmade losses, so your statement is incorrect, we haven't seen an unusual level of manmade losses over the first half of the year. It's really been in the third quarter. And if you look at our normalized combined ratio in Q1 and Q2, you'll see that actually we're below our 95% to 96% target combined ratio. So -- and the level of manmade we've seen in this quarter is not unusual compared to prior years, just very volatile. And on average we see this year year-to-date, as being a bit heavy, but not unusual compared to the past. On your second question also on manmade Thomas Cook, so the losses there come from the -- it's mainly a surety loss to the market. Again this is affecting our treaty portfolio across about 15 clients both for the European insurers and U.S. insurers, and the cost is the repatriation of stranded travelers. And by some accounts this is the largest peace-time repatriation operation since World War II. And as well as the cover of events payments of travelers that did not yet consume their trips. So as I mentioned the loss for us right now is estimated about €23 million. On Lubrizol, we're exposed mainly -- we only write the property of the risks. We have no exposure on the casualty side. And our exposure on the property is very limited. It's a single-digit loss we estimate currently. Your second question related to -- on the retro. So we started -- as we do every year, we start discussions over the summer. This year that the market is much more difficult than in the past years. There's been a retrenchment of some types of covers, especially around aggregate covers. But many of our expiring retrocession areas are continuing to provide us quotes and capacity. Because of our approach to retrocession, which has been kind of a long-term mentality and not opportunistic, we feel we have a strong support. And we're currently placing our retro and expect to be completed in the next couple of weeks on the main programs.
Laurent Rousseau: Thomas, couple of points. It's Laurent. The Q3 on man-made is actually very close to the Q2 that we had last year, so it's not unheard of. It's on the -- it's a bit above the average that we have, but it's really not above, so significantly. And as Jean-Paul said, the first half was lower. On casualty manmades that we saw, we've had three claims for SBS on casualty completely unrelated. I mean this is -- one of them is product reliability. Another one is PA. So, we have some casualty manmades more than usual, but again no pattern, no trend there. And there is a fourth claim manmades, that is above €10 million for SBS in the quarter and that's the space one.
Thomas Fossard: Okay. Thank you. Just to come back on the retro. So, Jean-Paul, if I understand you well, actually no change to be expected either in terms of protection or cost of the plan overall?
Jean-Paul Conoscente: No, we've adopted our programs slightly, because we're buying aggregate covers. And as I said, the supply in the marketplace has decreased from that product, so we did that de-structure slightly. But overall be very similar to what we have today with more or less the same players.
Thomas Fossard: Thanks. Thank you very much.
Ian Kelly: Okay. And so, that's the end of the questions. So, thank you very much for attending this conference call. Please don't hesitate to give us a call should you require any further information. And just a quick reminder that as usual we have the sell-side analyst roundtable held in our Paris, London and Zurich offices this evening as usual at 5:00 P.M. UK time, 6:00 P.M. European time. So if you can attend that we'll see you there. Otherwise, thank you very much and have a nice day.
Denis Kessler: Thank you.
Operator: This will conclude today’s conference. Thank you all for your participation. You may now disconnect.